Operator: Good day and thank you for standing by. Welcome to the Q1 2023 KVH, Inc. Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Roger Kuebel. Please go ahead.
Roger Kuebel: Thank you, Gigi. Good afternoon, everyone, and thank you for joining us today for KVH Industries' first quarter results, which are included in the earnings release we published earlier this afternoon. Joining me on the call are the company's Chief Executive Officer, Brent Bruun; and Chief Operating Officer, Bob Balog. Brent is actually calling in from Singapore, which is why we are having the call at this time of day instead of our usual morning time frame. Before we dive in, a couple of quick announcements. First, if you'd like a copy of the earnings release, it is available on our website and from our Investor Relations team. If you would like to listen to a recording of today's call, it will be available on our website. If you are listening via the web, feel free to submit questions to ir@kvh.com. Further, this conference call will contain certain forward-looking statements that are subject to numerous assumptions and uncertainties that may cause our actual results to differ materially from those expressed in these statements. We undertake no obligation to update or revise any of these statements. We will also discuss adjusted EBITDA, a non-GAAP financial measure. You'll find a definition of this measure in our press release as well as a reconciliation to comparable GAAP numbers. We encourage you to review the cautionary statements made in our SEC filings, specifically those under the heading Risk Factors in our 2022 Form 10-K, which was filed on March 16. The company's other SEC filings are available directly from the Investor Information section of our website. Now to walk you through the highlights of our first quarter, I'll turn the call over to Brent.
Brent Bruun: Thank you, Roger. Good afternoon, everyone. As Roger mentioned, I'm joining the call today with you from Singapore. One of our competitive advantages is the strength of our partner network, which includes marine electronic dealers and distributors, along with our airtime service providers, who sell our hardware and airtime while managing installations and technical support regionally. Much of our success stems from the health and commitment of that partner network. Illustrating this is a recent competitive win by one of our airtime service providers, which is now converting a 70-vessel fleet from a competing L-band service to our global HTS network. Over the last 2 months, I've been on the road a lot with our partners and customers worldwide. In March, I met with our premium EMEA dealers during a multi-day event in Madrid. During my current trip -- my current trip has brought me to our Asia Pacific headquarters in Singapore, after which, I'll travel to Manila, Hong Kong, Osaka and Tokyo. I'll meet with our most predominant partners and customers to reinforce our relationships and evaluate opportunities to expand global sales. Moving on to our financial results. Q1 was solid with revenue of $33.7 million. Although we recorded an operating loss of roughly $0.5 million given the seasonality of various income and expense items, this was in line with our expectations, and our guidance for the year is unchanged. Our airtime revenue was up 13% year-over-year to $27 million with airtime gross margin of 42%. We also increased our total subscriber base to more than 7,000. Our balance sheet is strong with quarter-end cash of $69 million and no debt. We are maintaining the solid financial foundation that we have worked hard to build over the last 12 months. Airtime remains the primary driver of our growth, and we are laser-focused on this, expanding airtime sales with a significant part of my conversations with our EMEA service providers last month and that I will be having with our service providers during my Asia Pac trip. ARPU, measured on total subscribers, remained steady at approximately $1,300 per month. We are now seeing opportunities to build our airtime with airtime upgrade and value-added services That's why we've rolled out incentives for customers to upgrade to larger airtime packages. It's also the reason we are opening up our airtime and global HTS network to non-KVH antennas for the first time. This new initiative enables us to convert VSAT antennas made by companies such as Intellian and Cobham to work with KVH's VSAT airtime without hardware changes. This approach makes it quick, convenient and easy for our new subscribers to transfer their services to our network. This program also offers benefit at the OEM level as both builders can install virtually any antenna on a leisure yacht or new commercial build, and we can support it with airtime once the customer case delivery. Our goals for this program are to drive new airtime revenue from all of our current markets, expand our airtime subscriber base with revenue -- and revenue with no hardware costs, take full advantage of our existing services and hardware infrastructure, and to convert competitor systems to gain market share. As an example, we're already halfway through converting more than 40 super yachts with high-value airtime packages. We've completed training for our global sales partners and are receiving inquiries from commercial fleets, some of which currently deploy a mixed solution of KVH and competing antennas. We're also leveraging our existing hybrid technology to counter new LEO systems entering the market. Every TracNet system includes integrated WiFi and 5G cellular capability. 5G is emerging, is an increasingly valuable and versatile solution for maritime applications. From a speed perspective, it can be as fast as 1 gigabit per second. That's 4 to 10x faster than the typical maximum speed offered by LEO solutions. While the actual data rates will vary based on the distance to the cell towers, we've observed TracNet systems reaching download speeds of 350 megabits per second with underlying costs that are competitive to Starlink. Our 5G service is now available in more than 50 countries, while our 4G and LTE service is available in more than 150. At the same time, our analyses indicate that our customers' vessels typically spend 60% to 70% of their time within the range of self-service, which can be as far as 20 miles offshore when using our TracNet terminals. These vessels include recreational boaters and commercial ships moving up and down the coast. However, as a much lower percentage of our TracNet customers are activating our 5G and LTE services, we'd like -- however, a much lower percentage of TracNet customers are activating the 5G/LTE service than we'd like to see. As a result, we are missing out on the advantages of our intelligent hybrid design. That's why we've launched a new 5G/LTE auto activation program with 2, 3 months of data. When the VSAT service for any TracNet terminal is activated, we also activate our global SIM card. Our intelligent hybrid channel switching will then automatically manage their connectivity using the VSAT, 5G and WiFi. This new program offers customers a risk-free introduction to our unique hybrid solution, which we believe will lead to more cellular subscriptions and a superior user experience. Next, we are taking steps to boost the accessibility and demand for our TracNet H90. The H90 is our first Ku-band-only 1-meter system and offers many advantages. It's lighter than competing 1-meter antennas and make -- which makes installations faster, easier and less costly. It also includes our integrated hybrid technology and offers significant airtime gain and cost efficiencies. We're taking advantage of those efficiencies to reduce airtime costs to customers while enhancing the user experience by lifting any data limits on data rates in our unlimited-use plans. Together with the reduction and the price of the terminal, we believe these steps can potentially increase H90 deployments through sales and AgilePlans subscriptions, generate higher monthly ARPUs and lower airtime costs. And finally, we are now shipping Starlink terminals. StarLink is the best-efforts network without the service level agreements and commitments on speed and value-add services our customers expect. That's why we believe the Starlink systems will work best when deployed in a hybrid configuration and our -- with our terminals to optimize availability and support our customers' enterprise-grade requirements. We are only selling Starlink terminals in tandem with new TracNet systems or as an add-on for existing TracNet and TracPhone terminals. While Starlink is generating a lot of buzz in the market, they aren't the only non-geosynchronous orbit solution in the market. As I've discussed in the past, we have flexibility to work with multiple LEO and MEO networks should we choose to offer a maritime alternative to Starlink. At this time, we are on a later stage -- we are in later-stage negotiations with another NGSO operator. We hope to wrap up these discussions in the coming weeks and make an announcement by the start of summer. So wrapping up, I believe we're in a favorable position for the start of the year. While there may be challenges ahead, we remain confident in our ability to deliver our strategic objectives for the year, which are to expand our suite of value-added services, to gain scale through organic growth and to pursue airtime subscribers through new hardware-agnostic approaches. In addition, we have a clearly defined development path for several new products that will include new airtime revenue streams, which we anticipate releasing later this year or at the start of 2024. Finally, we continue to evaluate other avenues for growth and investment. All of these actions are being taken to achieve healthy growth and sustained profitability. Now I'll turn it over to Roger for the financial details.
Roger Kuebel: Thanks, Brent. First, I would like to note that unless specifically stated otherwise, my comments with respect to Q1 of last year relate to our continuing operations, which exclude the results of our inertial navigation business, which was sold on August 9. With that, as Brent mentioned earlier, our first quarter revenue came in at $33.7 million, increasing $0.5 million from the $33.2 million recorded in the first quarter of 2022. Our gross profit margin was 37% for the first quarter of this year as compared with 38% in the first quarter of last year. Service revenue for the first quarter was $28.7 million, an increase of $2.2 million or 8% from $26.6 million in the first quarter of 2022. This increase was primarily due to a $3.0 million increase in VSAT airtime revenue, primarily offset by a $0.8 million decrease in our content service sales, which was largely due to the sale of our radio business in April of last year. As Brent noted, airtime revenue grew to $27.0 million or approximately 13% over the first quarter of 2022, and total subscribers surpassed 7,000. As a reminder, total subscribers include those who have temporarily suspended their primary airtime service but continue to pay minimum maintenance fees as well as equipment fees for AgilePlans subscribers. Airtime gross margin was 42.0%, which is up slightly from 41.2% last year. We are very pleased with those results. However, we are not changing our target for airtime margins to be in the high 30s. Product revenue for the first quarter was $4.9 million, a decrease of $1.6 million or 25% from the first quarter of last year. This decrease in product sales was primarily due to a $1.5 million decrease in VSAT product sales. The decline in VSAT sales was a result of several factors. A higher proportion of total shipments went as AgilePlans, not sold units. Also in Q1 of last year, we sold almost 90 units to customers who returned following a shutdown of a legacy network. And finally, we did see a reduction in the underlying market demand in the leisure segment. Product gross margin for the first quarter was negative by approximately $300,000. This was primarily due to 2 factors: the first being a write-down of inventory by approximately $600,000; and the second being approximately $300,000 of purchase price bearing. Operating expenses for the quarter were $12.9 million. As I mentioned on the last call, this is the approximate run rate that we expected to start the year. That $12.9 million is $5.7 million less than the first quarter of 2022, but a year-over-year comparison is difficult due to the restructuring charges we took in Q1 of last year as well as the complexity of isolating the impact of selling the inertial navigation business. At the operating income level, these changes in revenue, margins and operating expenses resulted in a loss from operations of approximately $500,000. Given the seasonality of various income and expense items, this is just about where we had expected to be when we started the year. Going forward, we expect to be profitable at the operating income level each quarter. Our bottom line net loss from continuing operation was $12,000, basically breakeven, compared to last year's net loss of $4.3 million. EPS for the first quarter was a net loss of less than $0.01 per share compared with a net loss of $0.23 per share in the same period of 2022. Our adjusted EBITDA for the quarter was a positive $3.3 million compared with a positive $1.8 million last year. For a complete reconciliation of adjusted EBITDA, please refer to the earnings release that was published earlier this afternoon. Net cash used by operations was $6.3 million. However, as I noted on the last call, we had an unusual increase in accounts payable at year-end, which is now reversed. The total change in operating assets and liabilities, including returning AP to a normal level, used $10.9 million of cash. As such, without that change, cash provided by operations would have been approximately $4 million. Capital expenditures for the quarter were $2.1 million. So our operational cash flow, assuming normalized working capital, was positive by almost $2 million. Adjusted EBITDA less CapEx was also positive by over $1 million. Cash used in investing activities other than CapEx and marketable securities was virtually 0, and cash provided by financing activities was $0.3 million, resulting in an ending cash balance of approximately $69 million. Looking forward to the remainder of the year. We continue to expect full year revenue between $145 million and $155 million and adjusted EBITDA between $17 million and $23 million. So no change to our guidance. This concludes our prepared remarks, and I will now turn the call over to the operator to open the line for the Q&A portion of this morning's call. Gigi?
Operator: [Operator Instructions] Our first question comes from the line of Caleb Henry from Quilty Space.
Caleb Henry: A couple of questions from me. You mentioned this new VSAT program, where multiple different terminal providers will be able to use the KVH network. Maybe I missed it, but did you give a program start date for that? When does that begin?
Brent Bruun: It started loosely this year or in the first quarter, but it officially was launched as of May 1.
Caleb Henry: Okay. The H90 terminal that you announced as being Ku-band -- or dedicated to Ku-band, is that orbit-specific? Or is that able to work with satellite networks from multiple different orbits?
Brent Bruun: Yes, it's orbit-specific, not geosynchronous. It's VSAT but just Ku-band only. And the reason why we call that Ku-band -- it's geo. The reason why we called it out as Ku-band only is that we -- historically, we've provided a terminal by the name of the V11, which was both Ku-band and C-band. This is Ku-band only. And similar to -- in the Ku approach to competing systems from Cobham and Intellian, but it also has the integrated 5G as well as import WiFi capabilities.
Bob Balog: Yes. It's operating on our standard Flex network that all of the other terminals operate on, so it has access to the entire constellation.
Caleb Henry: Okay. When you add your NGSO capacity, which you mentioned being pretty close too, is that something that you anticipate will replace the Starlink offering? Or is it something that you'll offer in tandem?
Brent Bruun: Well, it will be offered as an alternative, not necessarily in tandem but as an alternative.
Caleb Henry: Right. Right. Okay. And then my last question, you mentioned that -- an L-band customer or a maritime customer that was using L-band that is now switching to your network. I think listening to kind of the 2 main L-band providers, usually they talk about their customer base being sort of protected, and usually they add higher-throughput services, like Ku or Ka, in addition to L-band, not usually replacing it. So I'm just curious if you agree with that, if you disagree with that or if you're seeing a shift where more vessels are starting to ditch L-band in favor of higher-throughput services.
Brent Bruun: Well, to be very specific, when we talk about L-band, right, 2 providers, we're talking about Iridium or Inmarsat. Iridium, with their service offering, that's used to a large degree, from our perspective anyway, as backup. In regards to fleet broadband, there's been a number of conversions over the years to both our system as well as our competitor systems and to Inmarsat systems. So this is just yet another conversion of their L-band solutions.
Operator: [Operator Instructions] At this time, I'm showing no further questions. I would now like to turn the conference back over to Roger Kuebel for closing remarks.
Roger Kuebel: Well, thank you all for joining us. Appreciate it. I know that we don't normally do these afternoon East Coast U.S. time, but appreciate everybody who was able to join in anytime. And I think that's it. So thank you all for joining, and we'll talk to everyone again when we announce Q2.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.